Operator: Good afternoon, and welcome to the Veritone Third Quarter 2022 Financial Results. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Brian Alger, Senior Vice President, Investor Relations and Capital Markets. Please go ahead.
Brian Alger : Thank you, and good afternoon. After the market closed today, Veritone issued a press release announcing results for the third quarter ended September 30, 2022. The press release and other supplemental information is available at the Investors section of Veritone's website. Joining us for today's call are both the live and digital twin versions of Veritone's CEO, Chad Steelberg; President, Ryan Steelberg; and CFO, Mike Zemetra, who will provide prepared remarks and then open up the call for a live question-and-answer session. Please note that certain information discussed on the call today, including certain answers to your questions, will include forward-looking statements. This includes, without limitation, statements about our business strategy and future and financial operating performance. These forward-looking statements are subject to risks, uncertainties and assumptions that may cause the actual results to differ materially from those stated. Certain of these risks and assumptions are discussed in Veritone's SEC filings, including its annual report on Form 10-K. These forward-looking statements are based on assumptions as of today, November 8, 2022 and Veritone undertakes no obligation to revise or update them. During the call, the actual and forecasted financial measures we will be discussing will be presented on a non-GAAP basis unless otherwise noted. Reconciliations of these measures to the corresponding GAAP measures are included in the press release we issued today. Finally, I'd like to remind everyone that not only is this call being produced with Veritone Voice, our proprietary synthetic voice solution, but is also being recorded and will be made available for replay via a link in the Investors section of Veritone's website at www.veritone.com. Now, I'd like to turn the call over to the digital twin of our Co-Founder and CEO, Chad Steelberg. Chad?
Chad Steelberg : Thank you, Brian. Good afternoon, everyone. [Foreign Language] As Brian noted, I am digital twin Chad. We are happy to speak with you today and to provide an update on the progress of our business. For the third quarter of 2022, Veritone reported revenue of $37.1 million, representing year-over-year growth of 64% on a GAAP basis and 5% on a pro forma basis. Over the same period, bookings reached another record, up nearly 400% year-over-year and our customer count grew 43%, both on a pro forma basis. As Ryan and Mike will detail, our commercial businesses powered by aiWARE continue to be our foundation, providing the bulk of the revenues and profits for the business. That said, our investments in government and regulated industry solutions broadly continue to find new use cases and grow their respective pipelines. Veritone remains well-capitalized with a robust balance sheet and many growth levers at our disposal. For the past several years, we have been making intentional, disciplined investments in both the aiWARE platform and the use case-specific applications and services that leverage it.  Moreover, we intend to continue to leverage our extensive partnerships to cost effectively expand our offerings into new markets like healthcare and fintech, where we don't currently have specific offerings. For a while now, we have argued that artificial intelligence in good times and bad will continue to thrive. The resilience of our commercial business in the third quarter provides ample evidence that our belief is accurate. Whether it is our advertising services, HR solutions or our SaaS offerings for media and entertainment titans, our customers are realizing the improved ROI that is enabled by Veritone's enterprise solutions. Before I turn the call over to Ryan, I want to briefly touch on Ryan's elevation to Chief Executive Officer effective January 1, 2023 and my continued involvement with the company as Chairman of the Board. I am immensely proud of the team we have assembled, the technology we have developed and progress we have made in establishing a world-class AI operating system. Looking ahead, I have total confidence in Ryan and the stewardship he will employ in executing Veritone's long-term strategy. We are building an ecosystem to endure and I am excited to contribute to our next chapter. Now Ryan will discuss the operations of the business in greater detail. Over to you, Ryan.
Ryan Steelberg : Appreciate your kind words, Chad. And on behalf of the entire team at Veritone, I want to thank Chad for his unyielding leadership, drive and vision over the past 7-plus years. The strength of our business and the advancements enabled by aiWARE are enduring evidence of your efforts. Thank you. As today's earnings release indicates, I will be assuming the position of Chief Executive Officer in addition to my duties as President effective as of January 1, 2023. Chad will remain closely involved with our company in his continuing role as Chairman of the Board and he will also consult for the company, focusing his attention on aiWARE. Now, let's get into more of the operational details of our third quarter results, which we believe shows the resilient nature of our business now that aiWARE has been proven at scale. In the third quarter of 2022, GAAP revenue grew 64% year-over-year with strong growth in both Software Products & Services and Managed Services. Quarterly new software bookings of $16.5 million was our third consecutive software bookings record. Our software customer count grew to 618, up 4% sequentially and 43% year-over-year on a pro forma basis. Within our Managed Services business, we saw strong year-over-year revenue growth as average gross billings per active customer grew 21% to a record $747,000. Let's start the business review with commercial enterprise. Q3 2022 commercial enterprise revenues of $36.2 million increased 67% over the prior year period and accounted for 97% of our business. Within commercial enterprise, on a GAAP basis, our Managed Services grew 20% year-over-year and our Software Products & Services revenue grew by 145% year-over-year. On a pro forma basis, our Q3 2022 Software Products & Services revenues declined 5.3% year-over-year, though on a year-to-date basis, they are up 10%. Commercial enterprise customer growth was strong, accelerating from the June quarter. PandoLogic recorded 70% year-over-year growth in its customer base, while Veritone as a whole grew its customer base by 43%. Our final customer count at quarter end was 618. Within commercial enterprise, we are rapidly signing up new and existing customers and partners to leverage Veritone Voice and our broader synthetic content offerings. Most notable to-date is the recent agreement that we announced with Stats Perform, a leading global sports data provider. This Friday, during our upcoming Analyst Day, we will be discussing and demonstrating how the two companies plan to expand the synthetic content market for sports. Also in the sports arena, Veritone recently announced the launch of SPORT X, which combines our DMH technology with our extensive expertise in content licensing to create a marketplace for sports federations and leagues to improve content distribution and monetization. Underpinning the considerable customer growth for PandoLogic are significant and measurable efficiency gains driven through AI. For example, last year, over 200 Domino's Pizza franchises began working with us to help recruit and hire new talent. Within the first five weeks of our engagement, we saw 472% increase in applicant volume, an 86% reduction in the actual cost per applicant and an overall reduction in total spend by 19%. We have proven that in a volatile hiring market, programmatic adoption accelerates and gains market share due to increased efficiencies through automation and reduction in costs by moving away from the old, manual, expensive talent acquisition processes. As I mentioned previously, our Managed Services, which leverage our AI capabilities for differentiation, recorded 20% year-on-year growth in the third quarter. While some in the industry have reported macro ad spend challenges, our Managed Services group continues to perform well. This is directly attributable to the markets we serve and the differentiation aiWARE provides us to deliver substantially superior results to our customers. Across our entire commercial enterprise group, the common theme is resilience. In a challenging economic labor environment, we grew our overall customer base by 43%. In a challenged media spend environment, we recorded record average billings and material growth. Moving on to government and regulated industries or GRI. GRI grew both sequentially and year-over-year. Though revenues in GRI still account for less than 3% of our total revenues, bookings strength and the growing diversity of customers continues to support our belief that our continued investment in this space will yield positive results. Within GRI, we currently see our best product fit and brand awareness in our state and local law enforcement agency or LEA, end-markets. As last week's press release showed, our AI-driven contact and redact applications continue to draw more and more LEAs onto the platform, surpassing 20% market penetration in California. We are well on our way with our land-and-expand strategy in the LEA market. At the federal level, we continue to prioritize and leverage partners in our go-to-market strategy. While we know aiWARE offers tremendous value and potential to federal customers, the complexity of the procurement process and required services components essentially requires a partner approach. Fortunately, Veritone has built a first-class partner network, including Deloitte, Microsoft, CACI, PAE, Leidos and Booz Allen.  Overall, our customer growth, record bookings and increasingly diverse revenue base continue to demonstrate that Veritone's business is not only resilient, but poised for acceleration. We will continue to responsibly invest in growing the business while also leveraging our partners to expand market opportunities. Now I would like to hand the call off to Mike Zemetra, our CFO, to go through the financial results and guidance in more detail. Over to you, Mike.
Michael Zemetra : Thank you, Ryan. Q3 was a solid quarter with high execution across our business. Turning to Q3 2022 financial performance, Q3 revenue of $37.2 million was a record third quarter, up $14.5 million or 64% from Q3 2021. Software Products & Services revenue increased $11.8 million or 131% to a Q3 record of $20.8 million driven by the addition of PandoLogic. Managed Services revenue grew $2.8 million or 20%, driven largely by growth in content licensing, which rose 35% year-over-year. This was driven by the overall increase in digital content usage and in live events coverage as we return to pre-COVID conditions in addition to growth from our influencer platform and network in 2022. On a pro forma basis, Q3 2022 revenue was up 5% year-over-year driven by the increase in Managed Services, offset by a 5% decline in Software Products & Services. The pro forma decline in software was in large part driven by Amazon's continued efforts to drive headcount savings across their business, which resulted in a decline in revenue from Amazon of 28% year-over-year, offset by an over 100% improvement in non-volume hiring or enterprise revenues. Year-over-year, we saw net customer growth of over 65% with customers using our HR software. On a consolidated basis, Amazon represented 31% of our consolidated revenue in Q3 2022, down substantially from 40% in Q3 2021 on a pro forma basis. As we continue to reduce the concentration of revenue from Amazon and grow our customer base, we also expect our AAR to also fluctuate accordingly. In Q3, we generated strong Software Products & Services metrics: new bookings were $16.5 million, up 393% year-over-year on a pro forma basis from Q3 2021; gross revenue retention in the high 90 percentiles; ending customers of 618, up 43% year-over-year on pro forma basis; Q3 AAR of $170,000, down 18% year-over-year on a pro forma basis from Q3 2021 AAR of $208,000, driven by a higher mix of new customers and the decline in Amazon revenues.  I would note here that it takes new customers time to ramp to a normalized revenue capacity and excluding Amazon, net retention continued to be over 120%. In Managed Services, advertising gross billings per active customer increased to $747,000, up 21% over Q3 2021. Moreover, we expect to eclipse a new milestone in 2022, generating over $400 million in annual gross billings. In late Q3, we acquired Vision Semantics Ltd. for a total consideration of $2.0 million, consisting of $1.7 million in upfront cash and $0.3 million in deferred cash payments to be made in 2024. The acquisition will greatly improve the speed and adoption of our video tracking services and capabilities. We expect this acquisition to have less than 1% impact on our consolidated financial results throughout the remainder of 2022. Q3 2022 non-GAAP gross profit reached $30.1 million, improving by $13.3 million or 79% from Q3 of 2021. Gross margins expanded to 81% in Q3 2022, up compared with 74% in Q3 2021, benefiting from the entire quarter inclusion of PandoLogic.  As previously discussed and as we continue to scale over the next 12 to 24 months, including the full impact of PandoLogic, we expect total gross margins to reflect PandoLogic seasonality, which is typically slowest in the first quarter of the year and improving sequentially throughout the year thereafter and for total gross margins to continue to exceed 80% throughout the remainder of 2022. On a pro forma basis, Software Products & Services totaled 56% of revenue in Q3 2022 versus 62% in Q3 2021 driven by the year-over-year decline in Amazon. On a pro forma basis, Q3 2022 gross margin was slightly down year-over-year at 81%, as compared to 83% in Q3 2021. Q3 2022 non-GAAP net loss was $5.7 million, as compared to non-GAAP net loss of $2.3 million in Q3 2021. Driving this increase were recent growth investments in our operations, namely in hiring of engineering, sales and marketing resources to accelerate 2022 and long-term revenue growth. In addition, on the corporate side, in mid-2022, we deployed new cloud-based financial and people systems, Oracle and Workday, which will help us scale our future operations globally and we have incurred slightly higher G&A costs to support our first full year of Sarbanes-Oxley compliance costs. As a percentage of revenue, corporate costs dropped from 21% in Q3 2021 to 16% in Q3 2022. On a pro forma basis, the $5.7 million Q3 non-GAAP net loss compares to a $3.9 million non-GAAP net profit in Q3 2021, reflecting lower revenue and margin from Amazon in Q3 2022 coupled with a higher operating cost base. Our hiring plan for 2022 was front-loaded in the first half of the year, which will also have a heavier impact on forecasted 2022 bottom-line results. Turning to our balance sheet, at September 30, 2022, we held cash and restricted cash of $196.1 million, including approximately $59.5 million for Managed Services customers for future payments to vendors. This compares to $254.7 million at December 31, 2021.  The nine month $58.7 million net decrease reflects net cash flows of $34.0 million from acquisition-driven and financing activities, including approximately $14.4 million cash outflows for PandoLogic's 2021 earn out, $9.7 million in restricted stock net settlements and $11.1 million in cash paid for investments, acquisitions and fixed assets coupled with $24.6 million in cash flows from operations. Cash flow from operations of negative $24.6 million reflects the $18.1 million year-to-date non-GAAP net loss coupled with negative working capital changes from operations driven by the seasonal growth and timing of cash in and outflows across our operations. Working capital will continue to fluctuate depending on the timing and due dates of payments in any given period. Our unencumbered cash at the end of Q3 2022 was approximately $137 million, which at today's projected 2022 burn rate is sufficient to operate the existing business and support growth for the next ten years plus. We ended September 30, 2022 with 36.3 million shares outstanding. Now, I want to provide an overview of our financial guidance for the fourth quarter and full year 2022. Given the global macroeconomic backdrop, coupled with Amazon's recent hiring slowdown and related actions, we are tightening our previous top and bottom-line guidance for the year. With that backdrop and a reminder that PandoLogic has significant revenue seasonality with the lowest consumption in the first half of the year and accelerating throughout the second half of the year, for the fourth quarter of 2022, we expect revenue to be between $44 million and $46 million.  For full year 2022, we expect revenue to be between $150 million and $152 million, representing a year-over-year increase of 30% at the midpoint on a GAAP basis and relatively flat year-over-year on a pro forma basis. The primary driver of this updated revenue outlook reflects a lower state of Amazon hiring consumption throughout 2022 and in Q4 2022. We expect our combined Software Products & Services revenue growth to approach 50% year-over-year on a GAAP basis. Full year 2022 guidance includes our recent Q3 acquisition. We expect Q4 non-GAAP net income to be between $3 million and $4 million with full year non-GAAP net loss to be between $14 million and $15 million depending on the timing and the overall mix of our revenue and implying we are operating towards an approximate breakeven over the second half of 2022. This compares to a non-GAAP net profit of $6.8 million in 2021. Before I close, we plan to be speaking at the ROTH Technology Conference in New York City next week, November 15th and 16th; the Needham Virtual Tech Conference on November 16th; and we will also be presenting at the UBS TMT Conference in New York City on December 5th. If you'd be interested in scheduling a one-on-one at any of these events, please reach out to Brian or your institutional sales representative. Operator, now we would like to open up the call for questions.
Operator: [Operator Instructions] The first question comes from Patrick Walravens with JMP Securities. Please go ahead. 
Patrick Walravens : Great. Thank you. And Ryan, congratulations on the role starting next year. And overall, a nice bounce back from last quarter. The question I have is, when we are looking at the balance sheet and the free cash flow, how do we think about the debt in the context of that? So I heard the comment about enough cash with the 137 for the next 10 years. But within the next 10 years, you got to pay back $201 million in convertible notes, right? So I'd just love to hear how you talk about or how do you think about that?
Michael Zemetra : Yes, maybe I'll take that one. Yes. So I mean, listen, when we did the convert, I mean it was an incredible piece of paper as far as going out and grabbing liquidity. I mean, we got it for 1.75% interest. We put $200 million on our balance sheet, and that was really capital to fuel growth. And listen, we have four years of optionality on it, and a lot can happen even in the year. So we're still very, very bullish about the prospects of growth. And we're laser-focused on profitability. This back half of this year, we're almost breakeven if you look at our guidance, which I will say is conservative in Q4. So we feel really good about it and the convert price, albeit it's 36 and change to get there, we feel real good about growth and where we are and where we'll be in four years.
Patrick Walravens : Do you have four? You have to deal with it before it becomes current?
Michael Zemetra : You have to deal with it a little bit before it becomes current, but there is no call on it until 2026, I believe, November. So it's 4.
Patrick Walravens : Mike, can you all wait until 2026? Or do you feel like you have to deal with it before that?
Michael Zemetra : It just depends, Pat, and I can't project. In this I can't project the next six months where the world will be, right? But again, we feel real good about where we are.
Operator: Was there a follow-up Mr. Walravens?
Patrick Walravens : I am sorry. Yes. No, I'm good. Thank you very much.
Operator: Thank you. The next question comes from Koji Ikeda from Bank of America Securities. Please go ahead. 
Koji Ikeda : Hey guys. Thanks for taking my questions. Chad, we are going to miss you. Ryan, congrats on the CEO role. Just wanted to ask a question on PandoLogic and I know you're not guiding 2023. Maybe this is a better question for Friday, but I just want to throw it out there. As we're building our models and taking everything into consideration what's going on with the recruiting world and appreciate the color here on Amazon.  I mean, how should we think about PandoLogic revenue, I guess, call it, over the medium term? Do you anticipate it's growing? Does it remain flat or does it potentially decline in 2023?
Ryan Steelberg: Well, I'll speak to it just from, I'll call it, the business operational side, and then Mike can kind of touch on the financial side. But first and foremost, we've seen from our stated numbers, the growth in non-Amazon business of 70% growth in number of customers and over 100% in revenues. We expect that trend to continue. And we're very optimistic about that due to just, I would say, despite the top line potential slowdown in new hiring, the – in terms of attrition rate in the tight labor market coupled with the increase in market share of programmatic, which we definitively are a market leader in. We expect us to continue to gain market share as it relates to the efforts. And that's primarily driven by somewhat akin to happen in the display programmatic market in '08 through 2010, where, again, with despite a slowdown in growth of ad spend, you saw a significant increase in the utilization of programmatic primarily because as we've stated clearly, and we'll be following up with releasing some research data, is that our cost of acquiring applicants is significantly lower than the alternative of the human element, number one. And number two is that actually, from a macro perspective, has reduced significantly the overall cost for companies to hire and fill not just net new growth but also for attrition. So again, we feel very, very confident that, again, we have the right strategy. Amazon is a major portion of our business despite us significantly decreasing the concentration, which we do expect that positive trend to continue. Amazon is going to have a major impact on our business one way or the other whether they increase or decrease. So Mike, do you want to add on that a little bit?
Michael Zemetra : Yes, I just want to echo some of those statistics. I mean, the revenue – non-Amazon revenue growth is 100% year-over-year, the customer growth, 70%. And we are – and we're just at the tip of the spear. This technology is so great during great times. It's also even better during bad times because the cost, Ryan mentioned some statistics that we did with Domino's in terms of a survey and reducing the cost to hire by substantial amount and then increasing the time to hire by a substantial amount. So there is plenty of room for this to grow. And so, we're continuing to be aggressive on investing it.
Koji Ikeda : Got it
Ryan Steelberg: And I would add one more. In terms of the saturation of programmatic, right, we're still less than 10% of market adoption. So again, a lot of growth opportunities and a very high ceiling for us to continue to gain market share.
Koji Ikeda : Got it. Ryan, Mike, super helpful. Just a follow-up here. Thinking that PandoLogic, I recall during the acquisition time, you guys presented the business is quite profitable. And with growth presumably slowing just a little bit there from the Amazon headwinds, how should we be thinking about maybe your strategy or insight into how you're thinking about balancing growth and profitability over the medium term, given Pando was kind of a good lever for the bottom line for you guys?
Ryan Steelberg: I think in our entirety across the business, we've made a lot of our more material investments into technology really going back to the end of last year. And so, for us going forward, including Pando's recent release of Pando Select and a lot of their newer product offerings.  So, again, I think from a capital investment perspective relative to continue to yield increased growth, I think we are in a good position across all of our commercial products and then spending for media and entertainment and advertising to our HR and talent acquisition side. So from a cost basis relative to the growth opportunity, I think we're well positioned.  In terms of sales velocity, again, touching on the point, a lot of the efforts to reach those new customers to continue to drive adoption of non-Amazon business have been in place and Terry Baker and the management team on our HR side and Pando are doing a great job of executing against that plan. So, again, as we sit here today, we feel that we have the right strategy, the right team and the right investment allocations to continue to grow, while remaining very fiscally responsible.
Koji Ikeda : Got it. Ryan, thanks for taking the questions. I'm sorry, go ahead.
Michael Zemetra : I was saying, yes, just to be clear, it's still incredibly profitable. So, let's not forget that.
Koji Ikeda : Got it. Thanks, Mike. Thanks, Ryan. Thanks for taking the questions.
Michael Zemetra : Thank you.
Operator: The next question comes from Darren Aftahi with ROTH Capital Partners. Please go ahead. 
Darren Aftahi : Hey guys. Thanks for taking my questions. Chad, great to work with you and Ryan, congrats on the new role. Just two if I may? The sort of $10 million sequential decline in revenue, maybe, Mike, can you duplicate kind of the Managed Services versus the software kind of assumptions underlying that? And then, as we get into a tighter macroeconomic environment and people are unfortunately laid off like it seems like AI as a tool just becomes more pronounced. Can you talk about kind of opportunities that maybe we're not talking about right now has kind of become more front and center as we get into kind of tighter economic times?
Michael Zemetra : Darren, I missed the first part. You said it was a $10 million sequential decline?
Darren Aftahi : I was talking about year-over-year, I believe.
Michael Zemetra : Oh, year-over-year. Yes. And the biggest driver, and you're talking on a pro forma basis, right?
Darren Aftahi : Correct.
Michael Zemetra : Yes. The biggest driver was Amazon. I mean, listen, Amazon was 40% of our revenue on a pro forma basis in Q3 last year. And this year, it's gone down substantially and so yes, but I don't – maybe I am missing the $10 million decline sequentially. Are you talking about Q4 specifically in terms of...
Darren Aftahi : Q4.
Michael Zemetra : Yes, it's Amazon, 100%. The rest of the business is pretty stable. I mean, listen, we are experiencing some of the macroeconomic impact. And I'll let Ryan touch on this, but it's not to the extent that others are. And there's very good reasons for it. And as we mentioned before, our hiring platform is growing substantially even during these odd economic times and we expect it to continue to grow. But Ryan, I don't know if you want to touch on...
Ryan Steelberg: Similar vein as we've presented our advertising-related businesses in the past. Again, we're a performance-based vehicle. We have been.  So again, as you're seeing major pullbacks in some areas that are primarily driven by brand and display-based advertising, us being really the market leader in, frankly, the faster emerging opportunity of podcasting and influencer marketing and the fact that we're all performance-based, it is a great stabilizing factor as you've seen by our increase in average spend per customer is materially up even in the last quarter. So again, we're in a great position. This is somewhat similar to what happened during COVID when the major pullback happened. Our business did not fall off the table. It was relatively stable when a lot of major budgets were being cut. So again, on the advertising front, I feel like with technology and diversification, customer diversification and the fact that we're a performance-based in, I'd say, faster-growing areas of the media market, specifically creator economy and podcasting, we're in a great position on that front. And as we touched on several times on the PandoLogic side, the execution of that business in terms of new customer acquisition is incredible. And ultimately, for when you look at mid and longer term, that is the most important thing, are we acquiring customers? Are customers – are we keeping customers? And again, all those net new customers, that's brand-new net new dollars, candidly. So again, what we're seeing is we are not necessarily trying to isolate that it's just an Amazon pullback, but that does represent the material if one of, I would say, the grayer areas of our performance is, again, the major swing that Amazon is driving.  So independent of that, again, where we think we've done an excellent job, and we continue to be very bullish about our prospects.
Darren Aftahi : Helpful. Thank you. 
Operator: The next question comes from Brad Reback with Stifel. Please go ahead. 
Brad Reback : Great. Thanks very much. So, obviously, the guide for 4Q is revenue down fairly substantially year-over-year because of Amazon. Can you help us sort of think about what types of things need to happen in '23? Is it Amazon returning to growth? Or are there other levers that you can pull to get you back to your 20% stated long-term growth rate?
Ryan Steelberg: Well, I think we have a lot of great shots on goal. I mean, Mike will touch on it, and we've kind of a few of them already, but a lot of the investments that we've been making really going back to late 2020 through 2021 and most of this year, we're seeing the fruits of those efforts. And all the new product offerings of which we touched on SPORT X, which again is in full production right now and growing, all of our new voice technologies. We've made some recent announcements with Stats Perform. We're expecting great things and hopefully we will be able to talk about the exciting growth opportunities in voice and synthetic media. So again, there is a lot of levers that we're pretty bullish about. But again, we do expect our Managed Services and our advertising businesses to continue to grow. We continue to – for them to still stay differentiated and market leaders in their respective media focuses. And we do expect our continued growth in non-Amazon business for PandoLogic. So I think we have a multitude of levers, again, that are not overly capital intensive that I think, again, with fiscal discipline where I think we're able to achieve our goals while being very prudent on our bottom line. Mike?
Michael Zemetra : Yes. I mean, I think Ryan hit on pretty much everything. There is a ton of opportunity, some of these partnerships and deals we've recently disclosed. So pay attention to those because they are going to have potentially big impacts for us next year.
Brad Reback : Great. Thanks very much.
Michael Zemetra : Yes. Thank you.
Operator: Excuse me. Was there a follow-up, Mr. Reback?
Brad Reback : No, no, I'm all set. Thanks. 
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Chad Steelberg, Chairman and CEO of Veritone for any closing remarks.
Chad Steelberg : Thank you, operator. We are pleased with the overall execution of our business and the increasing growth opportunities we are building as we wrap up 2022 and head into 2023. Our confidence in aiWARE is backed by our strong customer metrics and we remain steadfast in our strategy. As I pass the torch to Ryan, I am excited by the opportunity at hand and to continue supporting the Veritone team albeit in a different capacity.  Ryan and I started Veritone with a shared vision. He brings years of experience and a foundation in what has differentiated Veritone in an emerging marketplace. Further, Ryan is focused on Veritone's next chapter. He knows where we came from and what we have built and most importantly, has a clear vision for our future.  I am thankful to everyone at the Veritone team for their intrepid spirit, diverse expertise and collaborative partnership for the past decade. Together, we will continue this rewarding mission. I will be remiss if I didn't mention that tonight is an important night for our country as we come together to elect our leaders. If you have not yet done so, I highly encourage all of you to exercise your constitutional right to vote. Finally, and most importantly, I would like to take a moment to recognize the contribution of Louis Graziadio, my friend, mentor and long time Board member, who sadly passed on October 17th. Louis brought a tireless work ethic, integrity and immense leadership to our Board. He is deeply missed. Louis was focused on living in the present and the idea that tackling today is the best way to succeed in the future. This was captured in his famous idiom TNT, which he learned from his father. It stood for today, not tomorrow. We have taken Louis' lessons and example to heart as we start our next phase. Today's CEO announcement is bittersweet, but one I know Louis would have approved of for Ryan is the ideal leader for Veritone today and the infinite set of tomorrows ahead will reap the benefits of this decision. My deepest condolences to Louis' family and loved ones, but rest assured his legacy lives on. Thank you for joining us. We wish you all a happy and healthy holiday season. God bless.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.